Executives: Janet C. Loduca - Vice President-Investor Relations Anthony F. Earley Jr. - Chairman, President & Chief Executive Officer Christopher P. Johns - President, Pacific Gas & Electric Co. Kent M. Harvey - Chief Financial Officer & Senior Vice President Dinyar B. Mistry - Vice President & Controller Steven E. Malnight - Senior Vice President-Regulatory Affairs, Pacific Gas & Electric Co. Hyun Park - Senior Vice President & General Counsel
Analysts: Dan L. Eggers - Credit Suisse Securities (USA) LLC (Broker) Greg Gordon - Evercore ISI Jonathan Philip Arnold - Deutsche Bank Securities, Inc. Leslie Best Rich - JPMorgan Investment Management, Inc. Steven Isaac Fleishman - Wolfe Research LLC Julien Dumoulin-Smith - UBS Securities LLC Michael J. Lapides - Goldman Sachs & Co. Stephen Calder Byrd - Morgan Stanley & Co. LLC Hugh de Neufville Wynne - Sanford C. Bernstein & Co. LLC Gregg Gillander Orrill - Barclays Capital, Inc. James D. von Riesemann - Mizuho Securities USA Inc. Paul Patterson - Glenrock Associates LLC Travis Miller - Morningstar Research Feliks Kerman - Visium Asset Management
Operator: Good morning, and welcome to the PG&E Second Quarter Earnings Call. All lines will be muted during the presentation portions of our call, with an opportunity for questions and answers at the end. At this time, I would like to turn it over to our host, Janet Loduca. Thanks and enjoy your conference. You may proceed.
Janet C. Loduca - Vice President-Investor Relations: Great. Good morning, everyone, and thanks for joining us. Before you hear from Tony Earley, Chris Johns and Kent Harvey, I'll remind you that our discussion today includes forward-looking statements about our outlook for future financial results, based on assumptions, forecasts, expectations and information currently available to management. Some of the important factors that could affect the company's actual financial results are described on the second page of today's slide presentation. We also encourage you to review the Form 10-Q that will be filed with the SEC later today and the discussion of risk factors that appears there and in the 2014 Annual Report. And with that, I'll turn it over to Tony.
Anthony F. Earley Jr. - Chairman, President & Chief Executive Officer: Well, thank you, Janet, and good morning, everyone. I'm going to start by covering the leadership changes that we announced recently and also provide some regulatory updates. Chris will talk about operational results and Kent will cover our financials later. So, a couple weeks ago we announced that Geisha Williams and Nick Stavropoulos, will be assuming the roles of Presidents of Electric Operations and Gas Operations respectively effective August 17. First, I really do want to thank Chris for his leadership at PG&E. Chris has been a passionate sponsor of our efforts to improve the safety culture at PG&E. And since I arrived almost four years ago, he has been a great partner for me in improving PG&E's operations. So thank you Chris for all that you have done. Geisha Williams joined PG&E in 2007 from Florida Power & Light. And under her leadership, PG&E has dramatically improved its electric reliability while managing the increasingly complex demands in our group. Nick Stavropoulos joined PG&E in 2011 from National Grid and under his leadership PG&E has completed an unprecedented amount of work to improve the safety of our gas system and has employed new innovative technologies that are literally changing the industry. Geisha and Nick are both here with us today, and they'll be available to answer any questions that you've got. While we're proud of the progress we've made to date, we also know that we have more work to do. We remain focused on continuing to strengthen our safety culture, resolving the remaining San Bruno related proceedings, and rebuilding trust with our stakeholders, including the CPUC. We're also focused on planning for California's clean energy future, and we've had a number of significant developments on that front since our last call that I'd like to touch on now. Earlier, this month we filed our electric distribution resources plan. This plan outlined our strategy for continuing to enable California's ambitious environmental goals, by building a flexible, reliable grid that meets the growing demand for distributed generation, electric vehicles, energy efficiency and energy storage. We've been investing in grid modernization for several years now, and will include the next round of investments in our 2017 General Rate Case filing that will come in September. Earlier this month, the CPUC also approved changes to our residential rates that will reduce the number of tiers from 4 tiers to 2 tiers, decrease the differential between the tiers, and establish a $10 minimum bill for most customers. While this is an important first step, we believe that additional rate reform is critical to fully realize the state's objectives, and ensure that all customers are appropriately paying for the use of the electric grid. We were a little disappointed that the commission didn't adopt fixed charges, but we are encouraged that the final decision recognized the importance of cost-based rates to send the appropriate price signals. We'll be proposing additional enhancements in the future to bring us closer to that goal. We'll also be submitting our proposal for new net energy metering rates next week, which is another important component of aligning rates with costs. Solar is an essential part of California's clean energy future, but we need smart energy reform for it to grow sustainably. The CPUC also issued a revised schedule in our Gas Transmission and Storage rate case. We'll now have two separate decisions, one that decides what costs are authorized and then a second decision that decides how we will apply the $850 million San Bruno penalty for safety related work. And Kent is going to discuss the financial implications of that new schedule in just a minute. Finally, today we filed our TO17 rate case. Our request was about $300 million higher than TO16. So, with that, let me turn it over to Chris.
Christopher P. Johns - President, Pacific Gas & Electric Co.: Great. Thanks, Tony, and good morning, everyone. We had another strong quarter in operations. We continue to perform well in our public safety metrics, in fact we reduced the numbers of wires down and gas dig-ins across our system and we're responding to emergencies at an industry leading pace. Inline pipeline inspections and upgrades are a little behind due to permitting delays, but we anticipate catching up by the end of the year and Diablo Canyon continues to perform very well. You can see our overall performance on key metrics in the appendices. In May, we successfully conducted a two day large scale exercise to test our preparedness and response plans for a major earthquake. It was our most ambitious exercise to date with over 750 employees and nearly a dozen external stakeholders participating across our service territory. Exercises like these along with our many other emergency preparedness efforts help us to be ready to respond quickly and effectively when an event happens. With California in its fourth year of severe drought, our electric operations team has significantly enhanced our efforts to prevent wildfires. We're conducting daily aerial fire patrols across our service territory and we've partnered with federal and state agencies like CAL FIRE and the U.S. Forest Service to create more firebreaks, improve emergency response and fund the cameras that will help detect wildfires in remote locations. We're also continuing to manage water in our own hydro system to help meet the peak load this summer. In early July, the CPUC released the results of an independent report on the Fresno pipeline incident, which found that the pipeline ruptured when it was struck by third party construction equipment. The report also confirmed that the pipe met all industry specifications and that the construction activity significantly reduced the depth of soil around the pipeline. This incident highlights the importance of calling 811 before digging and we've been working hard to make sure all our customers are aware of this free service. We're continuing to cooperate with the CPUC in its ongoing investigation. And our thoughts remain with the victims and families of this accident. Finally, earlier this quarter, the National Transportation Safety Board announced that PG&E has successfully completed the tenth of 12 safety recommendations for the improvements we've made to the system that monitors and provides real-time data about our gas pipelines. The two remaining recommendations which involve strength testing and valve installation, are proceeding appropriately. And with that, I'll turn it over to Kent.
Kent M. Harvey - Chief Financial Officer & Senior Vice President: Thank you, Chris. And good morning. I'll start with our quarterly results, which are summarized on slide five. Earnings from operations came in at $0.91 in the second quarter. GAAP earnings which include our items impacting comparability were $0.83. Our pipeline-related expenses totaled $15 million pre-tax or $9 million after tax, as shown in the table. This includes our costs to remediate encroachments on our pipeline rights of way and some remaining expense work for our Pipeline Safety Enhancement Plan. Our legal and regulatory-related expenses totaled $16 million pre-tax or $10 million after tax in the table. Here we have our costs for litigation and enforcement activities related to natural gas matters and regulatory communications. Fines and penalties for the second quarter totaled $75 million pre-tax, as shown in the table below. You can see the Q2 charge was for disallowed capital work coming out of the final penalty decision in the San Bruno investigations. Disallowed capital work will continue to be recorded as an item impacting comparability in future periods as the capital is spent. But disallowed expense work won't be reflected as an item impacting comparability until the revenues are disallowed in the gas transmission rate case. So the timing there will be linked to the final decision. Finally, as you can see in the table above, we received insurance recoveries during the quarter of $39 million pre-tax or $23 million after-tax in the table. This brings our total insurance recoveries for third-party claims to $505 million pre-tax. Slide six shows the quarter-over-quarter comparison for earnings from operations and the key factors that take us from $0.69 in Q2 last year to $0.91 in Q2 this year. $0.21 of the increase was due to the 2014 General Rate Case decision, which you'll remember we didn't receive until Q3 of last year. In addition, $0.05 of the increase was due to growth in rate base earnings and $0.04 was associated with tax timing. We expect the tax timing to reverse to zero by year end. We also had $0.06 positive in miscellaneous smaller items. These factors were partially offset by $0.09 of lower cost recovery due to the timing of the gas transmission rate case. As you know, the revenue increase from a final decision in the case will be retroactive to January 1. There was also $0.03 attributable to the disposition of stock in SolarCity in Q2 last year. And $0.02 attributable to an increase in shares outstanding. That's it for our Q2 results. I'll now move on to our 2015 guidance summarized on slide seven. As Tony mentioned, the CPUC issued a revised schedule in the gas transmission rate case. Since it now appears likely that the case will not be resolved until 2016, we don't expect to be able to book additional gas transmission revenues this year. I indicated on our last call that not receiving a final rate case decision in 2015 would impact earnings from operations this year by about $0.60 per share. Accordingly, we're adjusting our guidance for 2015 earnings from operations to reflect this delay, which takes us to a range of $2.90 to $3.10 for this year. The prior range was $3.50 to $3.70. Since the final decision will be retroactive to January 1, 2015, this is just a timing issue. And next year we would expect to book incremental revenues for both 2015 and 2016. We plan to treat the 2015 amount as an item impacting comparability next year and the 2016 amount will be included in our operating results. The delay in the rate case decision affects two of the assumptions underlying our 2015 earnings guidance. So I want to just briefly touch on those and then we'll come back to the items impacting comparability. On slide eight, we've adjusted our 2015 CapEx for gas transmission given the delay in the case. We're now showing $650 million versus a previous range of $600 million to $800 million. We've also reduced our 2015 authorized rate base for gas transmission to $1.8 billion since the increase in authorized rate base won't occur until next year when we get a final decision. The other assumptions here are unchanged from last quarter. Moving to slide nine, the ranges for the items impacting comparability are also unchanged from last quarter with the exception of the fines and penalties, which we've reduced from roughly $1 billion to about $900 million for 2015. The delay in the gas transmission rate case means we'll not report disallowed expense work until next year when we get the decision. We previously had $160 million in 2015 guidance for that. Partially offsetting that change, we've increased our 2015 estimate for disallowed capital by about $50 million to $400 million. The net of these two changes is a reduction in 2015 fines and penalties of about $100 million. I also need to remind you here that our estimate does not include other potential fines and penalties such as any revenues disallowed in the gas transmission rate case as a penalty for ex parte communications. Finally in the table above, we've also updated it to reflect the receipt of the insurance recoveries that we booked in Q2. Slide 10 just shows you how you get from the roughly $900 million estimate for 2015 to the total $1.6 billion of fines and penalties coming out of the gas investigations. This table has been updated to reflect the timing changes I just covered. Moving on to slide 11, our total equity needs for 2015 remained unchanged at between $700 and $800 million. In the second quarter, we issued about $100 million of equity through our internal programs, which include our 401(k) and dividend reinvestment programs. And we expect to issue a total of roughly $300 million through these programs for the full year. We previously issued about $75 million through our continuous equity offering, leaving the remaining need for the year at about $300 million to $400 million, and that's unchanged from last quarter. Slides 12 and 13 just summarize our assumptions for CapEx and rate base through 2016. Other than the change to 2015 authorized rate base, which I've already covered, the numbers are unchanged from last quarter. With that, I'll stop here and we can open-up the lines for your questions.
Operator: Our first question comes from the line of Daniel Eggers with Credit Suisse. You may proceed.
Dan L. Eggers - Credit Suisse Securities (USA) LLC (Broker): Hey. Good morning, guys.
Anthony F. Earley Jr. - Chairman, President & Chief Executive Officer: Good morning, Dan.
Dan L. Eggers - Credit Suisse Securities (USA) LLC (Broker): Hey, just on the – just to make sure I had this right. So in 2016 you guys will not include the $0.60 in recurring numbers. So a 2016 estimate was recently published and what you're going to talk about then would look like some sort of a function of a return on rate base plus any tax benefits you guys get from the manufacturing deductions?
Kent M. Harvey - Chief Financial Officer & Senior Vice President: Yes, Dan. I think you have that correct. We just – we want to make sure that we're pulling out the 2015 amount as we think it makes next year more comparable.
Dan L. Eggers - Credit Suisse Securities (USA) LLC (Broker): Okay. And then, on the – just on the timing of GT&S kind of if you look at the proceedings as laid out and where flex points or where debates are going to be, when do you guys anticipate us getting to a clean number? And when will you give guidance for 2016 in that context?
Dinyar B. Mistry - Vice President & Controller: Hi, Dan. This is Dinyar Mistry, the Controller. I think, when we look at the procedural schedule, it seems that early 2016 maybe around the January timeframe is when we would expect to see the first decision and the second decision will probably follow maybe a couple of months or three months after that.
Dan L. Eggers - Credit Suisse Securities (USA) LLC (Broker): And when do you guys think about giving guidance around those numbers? So, when are you going to give 2016 guidance, I guess?
Kent M. Harvey - Chief Financial Officer & Senior Vice President: Don't know for sure, Dan, but on a normal schedule we probably do that in February when we announce year-end earnings.
Dan L. Eggers - Credit Suisse Securities (USA) LLC (Broker): Would you be comfortable doing that before GT&S is done?
Kent M. Harvey - Chief Financial Officer & Senior Vice President: Well, if the schedule ends up playing out as Dinyar just described, you would at least have the first part of the decision, which is authorized revenues, which you wouldn't really have it how they're treating all the fines and penalties, I think we could make our way through that.
Dan L. Eggers - Credit Suisse Securities (USA) LLC (Broker): Okay. Very good. Thank you, guys.
Operator: Thank you. Our next question comes from the line of Greg Gordon with Evercore.
Greg Gordon - Evercore ISI: Thanks. Good morning.
Anthony F. Earley Jr. - Chairman, President & Chief Executive Officer: Good morning, Greg.
Greg Gordon - Evercore ISI: So, when we think about the guidance origin for this year, very simply it's the not getting the revenues from the GT&S case offset by the tweaks and the timing on the fines and penalties to get to that new range, everything else is basically the same?
Kent M. Harvey - Chief Financial Officer & Senior Vice President: Yes. I think that's pretty much it.
Greg Gordon - Evercore ISI: Okay, great. The second question was on – you're not presuming any incremental equity need this year versus your last update, clearly the one big change is going to be a cash flow, deferral of recovery of these cash flows through these cases done, should we just assume your funding with short-term debt until you get the money in?
Kent M. Harvey - Chief Financial Officer & Senior Vice President: Well Greg, this is Kent again. There's kind of two things that have happened in terms of a few factors that result in not really a material change in our equity needs. One is, you're right, the GT&S case has been delayed until early next year. But we weren't anticipating it to actually happen anyway until very late this year. So it really only affected our equity balances for a few months, this year. So moving it out of this year isn't a big 2015 impact on our equity. And then in the other direction of course, we're not expecting to have the charge for the disallowed expense work this year and previously, we were. So that actually helps the equity balances a little this year and the net of those two is not a significant change.
Greg Gordon - Evercore ISI: Okay. So the – and to the extent those cash flows are pushed out a few months you have obviously sufficient balance sheet capacity to fund that right?
Kent M. Harvey - Chief Financial Officer & Senior Vice President: Yeah, and there's really no cash flow impact this year, it will all be in the next year just in terms of the timing of when the actual decision is made and we start collecting the revenues through cash rates.
Greg Gordon - Evercore ISI: Perfect. Thank you.
Operator: Thank you, Mr. Gordon. Our next question comes from the line of Jonathan Arnold with Deutsche Bank. You may proceed.
Jonathan Philip Arnold - Deutsche Bank Securities, Inc.: Good morning, guys.
Anthony F. Earley Jr. - Chairman, President & Chief Executive Officer: Good morning, Jonathan.
Jonathan Philip Arnold - Deutsche Bank Securities, Inc.: Quick one and just the pushback with the GT&S case change you're thinking at all Tony about timing for revisiting the dividend? And then just give us an update on that process?
Anthony F. Earley Jr. - Chairman, President & Chief Executive Officer: Yeah. Well, I mean, let me reiterate. I mean we know the dividend is very important, we've been focused on that. Obviously with the change in the timing of that case that does change things. Our commitment is to continue to figure out what would be an appropriate time to deal with the dividend, we're having ongoing discussions here internally, but I don't have a projection of exactly when that might be yet.
Jonathan Philip Arnold - Deutsche Bank Securities, Inc.: Okay. But is it reasonable to expect it's more like a 2016 event now and then given more you've just said?
Anthony F. Earley Jr. - Chairman, President & Chief Executive Officer: I think that's a reasonable assumption for you.
Jonathan Philip Arnold - Deutsche Bank Securities, Inc.: Okay. Thank you. And then, just on the miscellaneous items in the quarter, I mean, it seems to add up to quite a big number. Was there anything particularly worth calling out?
Kent M. Harvey - Chief Financial Officer & Senior Vice President: Yeah. Jonathan, this is Kent. The miscellaneous by definition usually ends up being lots of small items and some of them can be timing and some of them aren't necessarily timing. In Q2, we did have a couple of settlements with contractors, litigation settlements so that added to the quarter compared to what we would normally see, and then there are some smaller items in there too. And I would say, overall it's always hard for us to forecast miscellaneous by their very nature, but we expect we may have a few offsets in miscellaneous later this year.
Jonathan Philip Arnold - Deutsche Bank Securities, Inc.: Great. Thank you, Kent. On the similar subject, you said you thought the tax item would reverse by the end of the year, would that be in Q3 and Q4 or sort of between the two quarters?
Dinyar B. Mistry - Vice President & Controller: This is Dinyar, Jonathan. They should reverse over the next set of quarters.
Jonathan Philip Arnold - Deutsche Bank Securities, Inc.: Okay. As in the next – the next two quarters or is it some of it slip into next year?
Dinyar B. Mistry - Vice President & Controller: No, it should all reverse this year. So, the reason that we have it is that accounting rules require companies to use a consistent effective tax rate every quarter, but your income isn't consistent each quarter. And so, you have this timing issue that reverses itself out by the end of the year.
Jonathan Philip Arnold - Deutsche Bank Securities, Inc.: Okay. Thank you for the clarity.
Operator: Thank you, Mr. Arnold. Our next question comes from the line of Leslie Rich with JPMorgan. You may proceed.
Leslie Best Rich - JPMorgan Investment Management, Inc.: Hi. Good morning. I wondered if you could talk a bit about some of the rate design issues you mentioned, I know you've got a final decision on that did not allow an immediate fixed charge, but you said you were going to submit a new proposal for net metering, I wondered what that might look like?
Anthony F. Earley Jr. - Chairman, President & Chief Executive Officer: Yeah. I think the decision that came down moved this in the right direction cutting down the number of tiers. It did go with a minimum bill charge rather than a fixed charge. We, of course, had advocated for a fixed charge. But we're moving in the right direction. The next step will be a net energy meter rate filing. And in that filing, we're going to make sure that we underscore that we continue to support rooftop solar. We have the largest number of rooftop solar installations in the country. It's now over 175,000 installations. But we also need to keep investing in the grid. So we'll submit a proposal that will allow us to reinvest in the grid at the same time we're supporting rooftop solar. And that filing should be coming out in the next week or so.
Leslie Best Rich - JPMorgan Investment Management, Inc.: And then, did you make a filing in July maybe you call it the Grid of Things, there's a bullet point there on sort of longer-term grid infrastructure improvement, and I think you said you would lump that in with your next rate case. Have you quantified that?
Anthony F. Earley Jr. - Chairman, President & Chief Executive Officer: We haven't yet, I mean, our distribution resource plan filing kind of outlines our strategy on the grid. And as I think we said in prior calls, we've already made lots of investments starting with virtually 100% coverage on our automated meter reading program. And our next filing will have a substantial chunk of investment for continuing the transformation of the grid to a 21st Century grid. I can't really quantify how much of it is grid development versus how much of it is going to be routine maintenance of existing equipment yet.
Leslie Best Rich - JPMorgan Investment Management, Inc.: But it's fair to say that spending would be 2017 and beyond?
Anthony F. Earley Jr. - Chairman, President & Chief Executive Officer: Yes.
Leslie Best Rich - JPMorgan Investment Management, Inc.: Great. Thank you.
Operator: Thank you, Ms. Rich. Our next question comes from the line of Steve Fleishman with Wolfe Research. You may proceed.
Steven Isaac Fleishman - Wolfe Research LLC: Yeah. Hi, good morning. Just first on the equity issuance. So it seems like you've only done about a third of the equity for the year. Is there any reason that you kind of haven't done it more prorated? And how should we think about the way you're likely to do the $300 million to $400 million not through programs?
Kent M. Harvey - Chief Financial Officer & Senior Vice President: Steve, as you might imagine, I am reluctant to really comment a lot on what our equity plans are. I just don't think that's going to serve us well. So I will tell you, I'm very confident we have more than adequate tools and the amount that we need to raise this year is quite manageable.
Steven Isaac Fleishman - Wolfe Research LLC: Okay. And any more clarity on – I know this year there was a lot of that tax cash flow coming in. And is there any more sense on kind of tax cash flows in 2016 that you can provide us? Or at least are the cash flows that are coming this year going to reverse next year, going to stay stable or continue to be a positive?
Kent M. Harvey - Chief Financial Officer & Senior Vice President: Steve, I think you're referring to balancing account activities, which was one of many drivers maybe in our cash flows.
Steven Isaac Fleishman - Wolfe Research LLC: That's correct.
Kent M. Harvey - Chief Financial Officer & Senior Vice President: I don't really have anything to add to what was discussed on the last call since then. And I just continue to point out that our balancing accounts are very complex. It's very hard to look on our balance sheet and really decipher all the things that are going on because we have longer term balancing accounts and shorter term ones. Sometimes the trends have to do with prior years and then you're reversing them. Sometimes they have to do with what's going on in the current period and they amortize over different periods. So I just think it's going to be a very difficult path to try to do analytics to figure out how that drives our financing needs. And so I think that the easiest way to get to the big picture is to focus on year-over-year CapEx changes. And obviously, we've had the fines and penalties we're financing, and those are a few of the key drivers.
Steven Isaac Fleishman - Wolfe Research LLC: Okay. Last question is just for Tony. Obviously, you announced some management responsibility changes a few weeks ago. Could you maybe talk a little bit in context of Chris leaving, and then, I'm not sure you're going to be there till you're 100. So thoughts on kind of succession planning?
Anthony F. Earley Jr. - Chairman, President & Chief Executive Officer: Yeah. When I came I said I thought it would be three years to five years. Obviously, with Chris' announcement, things have changed. What I am committed to is making sure that we have a strong leadership team in place. I think with the changes that we announced a few weeks ago. We've got some great leaders now in place going forward. But I'm committed to make sure that we've got a good plan. I continue to discuss that with our board. Plus my wife and I like it here. Sarah and I just bought a place here in San Francisco, which I've got to move into later this week, which I'm not looking forward to the move. But I'm committed to making sure that we've got strong leadership to continue the momentum we've got in place.
Steven Isaac Fleishman - Wolfe Research LLC: Okay. Thank you.
Operator: Thank you, Mr. Fleishman. Our next question comes from the line of Michael Weinstein with UBS. You may proceed.
Julien Dumoulin-Smith - UBS Securities LLC: Hi, good morning. It's Julien here.
Kent M. Harvey - Chief Financial Officer & Senior Vice President: Hey, Julien.
Julien Dumoulin-Smith - UBS Securities LLC: So first question just going back to tax issues. In terms of the deductibility from any penalties, could you talk to some of the proposed state legislations specifically the state taxes?
Dinyar B. Mistry - Vice President & Controller: Hi, Julien, this is Dinyar again. So, you're right that there was a proposal that was introduced in the California Legislature, I think it was in the last week of June, and what that would do would potentially disallow the deduction for the penalty for the San Bruno penalty for California tax purposes.
Julien Dumoulin-Smith - UBS Securities LLC: Right. Do you have any sense of what that would be in terms of the total bill? I know that it's not the federal number, it's the state number, so it's also considerably smaller?
Dinyar B. Mistry - Vice President & Controller: Yeah, yeah. So on a really high level, it's up to a $1.6 billion penalty; $300 million was a fine. So, that would not be deductible anyway, and our state tax rate is roughly 10%.
Julien Dumoulin-Smith - UBS Securities LLC: Okay. So, it's fair to just take 10%?
Dinyar B. Mistry - Vice President & Controller: Yeah.
Julien Dumoulin-Smith - UBS Securities LLC: Got it. And then going back to Leslie's question and trying to get a little bit more of a holistic understanding on how you're thinking about net energy metering and compensation as we go into the second stage or second round here. Broadly, is the thought process here to bring down compensation to the solar sector in tandem with the cost structure declines that we're seeing? I'm just kind of getting a sense as to how you're thinking about at least structurally approaching the question? Would there be some kind of or is the thought process devising some kind of tracker to bring down NEM over time? I know you can't exactly say what the NEM rate would be, but just holistically how we think about that next year and in subsequent years?
Steven E. Malnight - Senior Vice President-Regulatory Affairs, Pacific Gas & Electric Co.: Yeah, hi, this is Steve Malnight from the Regulatory Affairs team. I think, Tony talked a little bit about the approach on NEM, and I think you know it's important to recognize that the existing structure allows customers to get credits at a full retail rate. I think it's been very successful in California in helping the solar market grow and advance. And as we now look forward, our goal would be to better balance both ensuring we have sustainable opportunities for solar to grow in the state, which I think is an option customers want and that we think is a vital part of meeting the energy goals in the state, and at the same time, start to shift that – shift the way we structure our compensation for NEM customers. So we'll be filing an updated tariff in the new proposal, I think we'll see a lot of proposals from multiple parties and the commission will work through that and make that decision and we'll participate in that proceeding.
Julien Dumoulin-Smith - UBS Securities LLC: But nothing necessarily formulaic.
Steven E. Malnight - Senior Vice President-Regulatory Affairs, Pacific Gas & Electric Co.: I think, we'll have to see how all the different proposals come out, I think there will be a lot and there will be opportunities for the commission to look for how we make changes now and into the future.
Julien Dumoulin-Smith - UBS Securities LLC: Great. Thank you.
Operator: Thank you, Mr. Weinstein. Our next question comes from the line of Michael Lapides with Goldman Sachs. You may proceed.
Michael J. Lapides - Goldman Sachs & Co.: Hey, guys. Congrats on a good quarter. Real quick question for you – just one on slide 12 related to CapEx. I want to make sure I understand this, the $5.5 billion in 2015, and the range you give in 2016, that includes the funds you'll spend the $400 million in 2015, and $300 million in 2016, that will get disallowed?
Kent M. Harvey - Chief Financial Officer & Senior Vice President: Michael, this is Kent; that's correct.
Michael J. Lapides - Goldman Sachs & Co.: Okay. Second, any update on the insurance recoveries in terms of what you think you might be able to recover or what you've requested for recovery versus what you've recovered to date. I'm just trying to kind of think about that from a cash on cash impact?
Kent M. Harvey - Chief Financial Officer & Senior Vice President: Michael, we're not totally done with insurance recoveries, but the vast majority of the claims are resolved at this point.
Michael J. Lapides - Goldman Sachs & Co.: Got it. And one final one, when you get the GT&S case, and we get to February, at the yearend earnings call and you think about giving 2016 guidance, is your thought process you'll give a multiyear view at that stage?
Kent M. Harvey - Chief Financial Officer & Senior Vice President: Michael, we're still working through that on our end exactly what we're going to do for guidance next year.
Michael J. Lapides - Goldman Sachs & Co.: Got it. Thanks, guys. Once again, congrats.
Anthony F. Earley Jr. - Chairman, President & Chief Executive Officer: Thanks.
Operator: Thank you, Mr. Lapides. Our next question comes from the line of Stephen Byrd with Morgan Stanley. You may proceed.
Stephen Calder Byrd - Morgan Stanley & Co. LLC: Hi, good morning.
Anthony F. Earley Jr. - Chairman, President & Chief Executive Officer: Good morning, Stephen.
Stephen Calder Byrd - Morgan Stanley & Co. LLC: Wanted to touch on the longer term in terms of you think about your total growth outlook in spending. You obviously laid out a lot of interesting information in your filing about the long-term resource need. At a high level as you think about the growth outlook that that provides you, how do you think about that compared to historical levels of spend? What could be the key sort of up and down drivers that could take you lower than you expect or higher than you expect when we think about it's a little challenging given all the possible areas of spend in the future, given all the greatest change, I'm just curious if you could speak to that at a high level.
Anthony F. Earley Jr. - Chairman, President & Chief Executive Officer: Yeah, as Kent said, we're not giving future guidance yet. But I think, it's fair to say and we said this in the past that our capital investments going forward will be higher than our historic levels and consistent with what we've had in the last two or three years where we've been investing in our electric grid. We've been investing in our gas system. And while there are obviously going to be changes as we see particularly the Grid of Things develop and how fast we need to invest in the grid. But I think you can – you will see a significant amount of capital investment going forward. You can see that slide12 shows our estimate for 2016. Beyond that, I think we're going to see some things that are comparable to it and we'll talk as we get further out as to more specifics.
Stephen Calder Byrd - Morgan Stanley & Co. LLC: Understood. And then shifting over to solar and thinking about the outlook there, as you've looked at bill increases over time, what have you been thinking of in turn as you think about the changes to your customers' bills, what kind of growth in solar do you expect and what have you factored into your thinking on where the bill goes, just given obviously, that there is a shift in costs from the solar customers to the remaining customers?
Anthony F. Earley Jr. - Chairman, President & Chief Executive Officer: Well let me start off by saying, one of the key focus areas that I've had since I've been here. I talked about safety, affordability, clean, safety, reliability, clean energy and affordability. And so, we have a very aggressive continuous improvement program in place and our teams are delivering on that to mitigate the cost of the investment. But obviously, given the capital investments that we're making we continue to see upward movement on our rates. But we're sensitive to the subsidies that I think the net energy metering proposal that we'll make, we'll try and bring more in line the amount we're paying for the solar that we're receiving, in line with the value to the rest of the customers so that it reduces the subsidies. But we continue to see very healthy growth of solar in California, both at the utility scale and at the rooftop distributed generation to solar scale. Steve, I don't know if you want to add any more about, to that.
Steven E. Malnight - Senior Vice President-Regulatory Affairs, Pacific Gas & Electric Co.: Tony I'll just say again, I think that we've recognized throughout that solar is a vital part of achieving a lot of goals that California has for our energy policy. We're supportive of that and as we do look at rate changes be it in the residential rates or in the NEM proceeding, one of the goals is to make sure that solar can continue to grow sustainably. And I think that's the goal and that's something we see going into the future.
Stephen Calder Byrd - Morgan Stanley & Co. LLC: Okay. Understood. And it sounds like you do continue to forecast in a fairly rapid growth in solar as you think about the overall customer bill, but obviously you're going to try that modify how things are working to make it more rational and have costs bear things appropriately for solar?
Anthony F. Earley Jr. - Chairman, President & Chief Executive Officer: Well, that's correct. And then as I said before, we've actually made progress on the rate structure. So reducing the number of tiers from four to two is helpful and we'll continue to keep working the rate issue because I think everyone agrees that we need to get to more cost base rates, in fact in the commission decision, they reaffirmed the belief in cost based rates to just – we may have disagreements over how fast we get there.
Stephen Calder Byrd - Morgan Stanley & Co. LLC: Understood. Thank you very much.
Operator: Thank you, Mr. Byrd. Our next question comes from the line of Hugh Wynne with Bernstein Research. You may proceed.
Hugh de Neufville Wynne - Sanford C. Bernstein & Co. LLC: Hi. I'd like to also follow up on some of the previous questions. Especially what is your target for annual increases in the per kilowatt-hour rate and then the average customer bill. You have a rate of increase relative to the rate of inflation that you would like to achieve?
Anthony F. Earley Jr. - Chairman, President & Chief Executive Officer: Yeah. Our target over the long-term is to track the rate of inflation for our rate increases. Obviously it's chunky and we're on a three-year rate cycle with our GRC, our General Rate Case and so you tend to see a spike up. And then, it slows down and then you get the next filing. We will make our next GRC filing here this fall. And that won't go into effect for more than a year. So you see those kind of bumps. But our long-range target is to get that those rate increases around the rate of inflation over a longer period of time.
Hugh de Neufville Wynne - Sanford C. Bernstein & Co. LLC: Okay. And then, also following up on the prior discussion of the net energy metering case, would it be possible for you to maybe just sketch out the positions that you believe will be put forward in that case? I'm interested in your views, for example, whether you believe that they'll be focused solely on a net energy metering construct? Or whether parties in the case will look to move in the direction of a value for energy supplied? Whether others will look for a feed-in tariff? Can you perhaps discuss where you think the different proposals will fall out?
Anthony F. Earley Jr. - Chairman, President & Chief Executive Officer: I'm reluctant to speculate on what others are doing. I think we'll probably see all of those things included in the various filings. As I said before, our focus is going to be on the value we get for electricity that is being supplied to us and getting it more aligned with the value to other customers. But I'm sure we're going to see a range of proposals from the various parties. But I can't speculate on exactly which ones.
Hugh de Neufville Wynne - Sanford C. Bernstein & Co. LLC: Okay. Thank you very much.
Operator: Thank you, Mr. Wynne. Our next question comes from the line of Gregg Orrill with Barclays. You may proceed.
Gregg Gillander Orrill - Barclays Capital, Inc.: Yes. Thank you. Just a follow-up on slide 10. You talked about essentially moving $100 million of shareholder impact is from the disallowed capital and pipeline safety expenses out into future periods. Is it possible to lay out how that would track 2016 and beyond?
Kent M. Harvey - Chief Financial Officer & Senior Vice President: This is Kent. A you know, because we discussed it on the last call, all of our estimates here about timing and the actual costs we're incurring, they're based on estimates because the PUC has not yet decided, specifically, which costs will account as safety related. So we've been using our best estimates of which categories, and this chart reflects that. And based on our estimates, we would expect that most of what you see there in estimated future periods is what would actually happened in 2016. Again, whether or not it plays out that way will largely depend on the final PUC determination of which ones count.
Gregg Gillander Orrill - Barclays Capital, Inc.: Okay. Thank you.
Operator: Thank you. Our next question comes from the line of Jim von Riesemann with Mizuho. You may proceed.
James D. von Riesemann - Mizuho Securities USA Inc.: Hi, good morning, everyone. A simple question, following up on the dividend. In 2016, do you think your GAAP earnings per share will exceed your current dividend level?
Kent M. Harvey - Chief Financial Officer & Senior Vice President: Jim, this is Kent. We're not giving you a GAAP guidance for 2016. So you can do that calculation yourself.
James D. von Riesemann - Mizuho Securities USA Inc.: I tried. Thank you.
Operator: Thank you. Our next question comes from the line of Paul Patterson with Glenrock Associates. You may proceed.
Paul Patterson - Glenrock Associates LLC: Good morning.
Anthony F. Earley Jr. - Chairman, President & Chief Executive Officer: Good morning, Paul.
Paul Patterson - Glenrock Associates LLC: Just a couple of quick questions. On the felony case, there's a story about you guys making efforts under statute of limitations, basically that you guys are arguing that under the statute of limitation, the whole bunch of these charges don't apply – or violations. Could you elaborate on that and how much that might change the outcome of the course of the case if you guys succeed with that?
Anthony F. Earley Jr. - Chairman, President & Chief Executive Officer: Yeah, I'll let Hyun Park comment in a minute. But between now and of course the scheduled trial date is next spring. And obviously, those sorts of things can change. But between now and then, you're going to see a lot of legal wrangling and the lawyers and the number of different motions filed, but Hyun, you want to comment on this one that we recently filed?
Hyun Park - Senior Vice President & General Counsel: Sure. this past Monday we filed a motion based on statute of limitation, and our request was that seven counts out of 28 counts should be dismissed on statute of limitation grounds. And the seven counts all relate to record keeping. And the motion is publicly available, and if you'd like a copy, we'd happy to send that to you.
Paul Patterson - Glenrock Associates LLC: Okay. But then I mean in terms of – is there any way of estimating what the impact would be if that position was taken, one-third of the request or maybe a little less would be taken away?
Hyun Park - Senior Vice President & General Counsel: So if we were to succeed, it's seven counts out of 28 counts that would be dismissed.
Anthony F. Earley Jr. - Chairman, President & Chief Executive Officer: And the penalty, its $0.5 million per count.
Paul Patterson - Glenrock Associates LLC: Okay. I got you. And then the second thing that I'd like to ask is, in the Safe Harbor disclosure, I saw a new bullet point, at least I don't remember seeing it before about the impact of the reductions in customer demand for electricity and natural gas have on the utility's ability to recover investments through rates and to earn its operating ROE et cetera. Is there any reason why that showed up this quarter? Is there anything you could point to that, why this is now an issue?
Anthony F. Earley Jr. - Chairman, President & Chief Executive Officer: I think that's a trend we've been seeing that electricity sales continue to be soft, particularly here in California we've been so successful with our energy efficiency programs. Of course now we're getting a large number of rooftop solar installations that are starting to get to be more than just trivial numbers, and we've got 175,000 of them. And as we look ahead, we don't see electricity growth getting back to our historic levels. And what that means because here in California, of course in that we're fully decoupled, our costs stay the same to operate the grid, and the risk that we referred to here is that at some point you're going to be spreading those costs over a smaller number of kilowatt hours. I mean that's precisely why we're looking at pushing hard on the rates reform, we really need a 21st century rate design not a 19th century or 20th century. And we thought given all of those trends, it's appropriate to add that as a caveat, but there is no one thing that contributed to it.
Paul Patterson - Glenrock Associates LLC: Okay. So, it's just, still recognizing it, trying to get it recognized for some time, but like for whatever reason you guys decided to include it this time, correct?
Anthony F. Earley Jr. - Chairman, President & Chief Executive Officer: Yeah. I mean the various factors have been developing and we just decided it's probably appropriate to start including this.
Paul Patterson - Glenrock Associates LLC: Okay. Fair enough. And then finally, there is a bunch of legislative initiatives concerning CPUC forum, the administration of energy efficiency, you guys know that more than I do and I won't list them. But are there any – is there one or two bills that you think are particularly are of significance for investors that we should be perhaps paying more attention to or focusing on with respect to this or is there anything you'd like to comment on in terms of sort of the political environment that sort of, that's separate from you guys to a certain degree now at this point. It's not – it's migrated from San Bruno, et cetera, to other things. Just in general, I mean is there any legislative initiative or changes at the CPUC you think we should be thinking about?
Anthony F. Earley Jr. - Chairman, President & Chief Executive Officer: Well, I've learned in my four years not to predict what happens here in this horse race to the end of the legislative session. You can never tell exactly what's going to come out of it. But the one that we're really focused on is a bill called SB 350, which is focusing on the renewable portfolio standard issues. And looking at whether we increase the renewable portfolio standard to 50%, we are very actively involved in those discussions. We're working with all of the legislative leaders to see what comes out of that. And that's one I think you could be taking a look at as having some impact. We are going to hit the 33% renewable standard by 2020. And we know we can go above that 33%. It's a matter of how fast we get there and also how much it would cost to get there. And we're actively involved in those discussions.
Paul Patterson - Glenrock Associates LLC: Okay. But on the CPUC reform legislation or efforts thereof is there any thoughts about what 660 or 825 might or might not mean?
Anthony F. Earley Jr. - Chairman, President & Chief Executive Officer: I wouldn't want to handicap any of them right now.
Paul Patterson - Glenrock Associates LLC: Okay. Fair enough. Thanks so much.
Anthony F. Earley Jr. - Chairman, President & Chief Executive Officer: Sure.
Operator: Thank you. Our next question comes from the line of Travis Miller with Morningstar. You may proceed.
Travis Miller - Morningstar Research: Good morning. Thank you. On the transmission side, in the TO-16 in that settlement, is there anything in that settlement that would lead you to believe that it wouldn't be a rubberstamp type of approval from FERC anything debatable in there?
Steven E. Malnight - Senior Vice President-Regulatory Affairs, Pacific Gas & Electric Co.: This is Steve Malnight again from Regulatory Affairs. We feel it's a good settlement with multiple parties. We submitted that to FERC and we'll just have to see how FERC processes that but.
Hyun Park - Senior Vice President & General Counsel: I think we have good experience with FERC approving settlements.
Steven E. Malnight - Senior Vice President-Regulatory Affairs, Pacific Gas & Electric Co.: Yeah.
Travis Miller - Morningstar Research: Okay. And then just in general for TO17 and even perhaps TO16 amendment, what's the risk of an ROE cut like we've seen in some other transmission areas?
Kent M. Harvey - Chief Financial Officer & Senior Vice President: Well, we are just filing TO17 today. We're requesting $10.96 that includes a 50 basis point adder in our request. And we have to go through the proceedings.
Travis Miller - Morningstar Research: Okay. Great. Fair, thanks.
Operator: Thank you. Our next question comes from the line of Feliks Kerman with Visium. You may proceed.
Feliks Kerman - Visium Asset Management: Hi, good morning. My questions were previously answered. Thank you.
Operator: Thank you. There are currently no additional questions waiting from the phone lines.
Janet C. Loduca - Vice President-Investor Relations: All right, great. Thank you, everyone. Appreciate your participation today and have a safe day. Thank you so much.
Operator: Thank you, ladies and gentlemen for attending today's conference. This now concludes our call. Thank you, and enjoy the rest of your day.